Operator: Greetings and welcome to the Uranium Resources' First Quarter 2013 Update. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for Uranium Resources. Thank you, Ms. Pawlowski. You may begin.
Deborah Pawlowski: Thanks very much, Jessie, and good morning everyone. We certainly appreciate your time today and your interest in Uranium Resources. On the call I have with me President and CEO, Christopher Jones, who will update you on the first quarter and our near-term focus and strategic initiatives. Tom Ehrlich, Chief Financial Officer will review our current financial position. Also available on the call is Mark Pelizza, the Senior Vice President of Environment, Safety and Public Affairs. After formal remarks, we will open the call for the questions-and-answers. If you don't have this morning's news, it can be found on our website at www.uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release, as well as in documents filed by the company with Securities and Exchange Commission. You can find those on our website where we regularly post information about the company as well as on the SEC's website at sec.gov. So please review our forward-looking statements in conjunction with these precautionary factors. So with that, I'd like to turn the call over to Chris to begin the discussion. Chris?
Christopher M. Jones: Thank you, Debbie, and good morning, everyone. We appreciate your time today. Since joining just over a month ago, I have focused my time on reviewing our assets, operations, our people and our objectives as we fine-tune our strategic initiatives. What I can tell you is that I have a great deal of confidence in the business and continue to believe that Uranium Resources is well positioned to capitalize on the strong long-term industry fundamentals. I've been impressed with the team's experience and capabilities and the breadth and depth of our Board of Directors. I'm excited to have the opportunity to take the company forward. Mexico continues to be a strategic initiative for us, as it presents significant opportunities for our company. As discussed previously, we finalized an agreement with Navajo Nation that allowed temporary access to our Churchrock Section 8 property for regulatory visits and more recently environmental and surveying contractors to perform some work on the property regarding the proposed right of way. As part of the agreement, the company has committed to help address legacy issues by previous operators, and we are currently working with a third-party consultant on remediation project assessment for Section 17 and 8. We expect this assessment to be completed around mid 2013. We are working with Navajo Nation on developing a mutually beneficial, comprehensive permanent access agreement. Negotiations are ongoing and progressing. On our last call, we mentioned the positive milestone that was reached when the Churchrock Chapter of the Navajo Nation passed a resolution in support of our activities. We are also looking to improve the economics of the project and they are in discussions with royalty holders on Section 8, Section 17 and Mancos properties on renegotiating existing agreements. All of these actions are critical to de-risking the project so that we can quicken our return to production. Looking at Texas, our groundwater restoration activities are moving along very well and are on target and nearing completion. The restoration activities at the Rosita project production areas are targeted for completion during the second half of this year, while stabilization at all production areas at the Kingsville Dome and Vasquez projects are targeted for the fourth quarter of 2013. Our Kingsville Dome holding pond refurbishment project is on track to be complete at yearend as well. Growing our asset base in Texas is another strategic initiative, as we believe is necessary in order to profitably position us to resume production when conditions improve. In January of this year, we added nearly 23,000 acres know as the Tecolote project to our exploration program with Cameco. Importantly, we also extended the existing exploration agreement with Cameco to a five-phase, five-year program. Cameco has already invested $2.8 million in this program and has committed another $1.5 million to increase their interest to 70%. Phase III drilling commenced this week and is expected to last into the fourth quarter of 2013. Before turning it over to Tom, I want to reiterate our commitment to reduce our cash burn rate. Our first quarter burn rate was $4.2 million, which was an average of $1.4 million per month. In order to achieve our goal, we have significantly reduced our legal costs and other corporate fees, and are examining every dollar of corporate spend for possible reduction. With that, I'd like to hand the call over to our Chief Financial Officer, Tom Ehrlich who will discuss our liquidity position. Tom.
Thomas H. Ehrlich: Thanks, Chris. To begin, our cash balance at the end of the first quarter of 2013 was $4.4 million. That compares to 4.7 at the end of 2012. During the quarter, we successfully completed our shareholder rights offering netting 3.6 million in cash and allowing us to repay the $5 million in outstanding short-term financing for our issuance of about 1.96 million shares of common stock. During the quarter, we had no sales under our company's At-The-Market Sales program and at the end of the quarter, we had $9 million in share value that was available for future use. During the first three months of 2013, the net cash used in operations totaled $3.6 million and $300,000 of cash was used in investing activities. During the quarter, we secured a new source for surety bonds for our South Texas properties, and in April $5.4 million in collateral supporting the previous financial surety was released back to the company, resulting in an increase to our available working capital. So at the end of April, our cap position stands at $7.9 million. And as Chris mentioned, we have made progress but we'll continue to remain focused throughout the year on cost reductions and the preservation of capital. Chris?
Christopher M. Jones: Operator, with that, we'd like to open up the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now be conducting our question-and-answer session. (Operator Instructions). It appears there are no questions at this time. I would like to turn the floor back over to Mr. Jones for any closing remarks.
Christopher M. Jones: Thank you, operator. As we proceed through 2013, our strategy and priorities are clear. We want to create value for our shareholders by advancing our projects in a way that both conserves cash and best positions the company to return to production when uranium markets improve. The focus in Texas is to complete the restoration activities and be prepared for a future return to production. In New Mexico, we will see to advance our Churchrock Section 8 Project and also assess the potential of our significant resource base for the development of larger scale projects on a stand-alone basis or with projects. I want to thank everyone for joining us today, and I look forward to the opportunity to meet many of you in person and I also look forward to discussing more about our vision as we look forward. Have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.